Operator: Good day, ladies and gentlemen. Welcome to the first quarter investor's conference call. Today's call is being recorded. Legal counsel requires us to advice that the discussion scheduled to take place today may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements is contained in the company's annual information form as filed with the Canadian Securities Administrators and in the company's Annual Report on Form 40-F as filed with the U.S. Securities and Exchange Commission. As a reminder, today's call is being recorded. Today is Tuesday, April 26, 2016. At this time, for opening remarks and introductions, I'd like to turn the call over to Chairman and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, operator and I apologize to everybody for the logistical delay here, but it was unavoidable. Good morning and thanks for joining us today for our first quarter conference call. I’m Jay Hennick, Chairman and Chief Executive Officer and with me today is John Friedrichsen, our Chief Financial Officer. This conference call is being webcast and is available on the Investors Relations section of our website. A presentation slide is also available to accompany today’s call. Earlier today, Colliers International reported strong financial results for the seasonally slower first quarter. Revenues were US$376 million, up 12% on reported currency basis. EBITDA was $22 million, up 52% and earnings per share came in at $0.19, up significantly versus the prior year. John will have more to say about our results in just a few minutes. Operationally, revenue pipelines continued to reflect considerable activity across all service lines with generally stable conditions in most major markets with the exception of the UK as a result of the lowering EU referendum. We continue to focus on diversifying our revenue streams by service and by geography. During the quarter, we experienced strong internal growth particularly in our Outsourcing and Advisory segment, which now represents about 43% of our total revenues. Geographically, just over 50% of our revenue streams are generated in the Americas with a balanced split between our European and Asia-Pacific regions on an annualized basis. Having a well-balanced and diversified business not only strengthens our global platform, but also provides better predictability as we continue to grow in the years ahead. During the quarter, we completed a total of four acquisitions, significantly expanding our presence again in Florida and strengthening operations of the UK, Netherlands, and in Canada. Colliers International is one of a very few companies with a truly global brand and platform operating in an industry with massive growth potential. The market for commercial real estate services is greater than $150 billion annually and the top five players have less than a 20% market share. Being one of the top tier players in a rapidly growing industry provides us with countless consolidation opportunities on a global basis and for many years to come. Our plan, as you know, is to double our size by 2020. We’ll do that by growing our business internally at about 5% and adding about 10% of our prior year’s EBITDA through acquisition on average over the next five years. Part of this, of course, includes selective and strategic recruiting of highly capable and inspiring professionals who are aligned with our enterprising culture, which is the essence of Colliers. Whether internal growth or acquisition, we always remain disciplined in our approach to create value for our shareholders. And if we accomplish our plan over the next five years as we had done in the past, you could put whatever evaluation multiple on our shares you want at that time and it will translate into significant incremental returns for our shareholders. And now let me turn things over to John for a more detailed overview of our financial results. Then we’ll open things up for questions. John?
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and highlighted by Jay in his opening remarks, Colliers International Group reported strong consolidated financial results for a seasonally slow first quarter with solid contributions from most of our operations across our global platform. I will address our overall consolidated financial results for the quarter, our operating results by reported region, as well as our capital usage and financial position, all of which relate to continuing operations. So through our first quarter of fiscal 2016, consolidated revenues increased to 376 million, up 17% in local currencies, up 336 million in the first quarter of 2015, the 7% of our growth generated internally and the balance from acquisitions. Total revenue growth for the quarter in our U.S. dollar reporting currency was 12%. Adjusted EBITDA for the quarter totaled $22.2 million, up from $14.6 million in Q1 of last year, an increase of 60% in local currencies and 52% in our U.S. dollar reported currency, while our margins grew 5.9%, compared to 4.3% last year. Our adjusted earnings per share came in at $0.19, compared to $0.10 per share reported last year in our first quarter, up 19% in U.S. dollar terms, with FX negatively impacting our adjusted earnings per share in the quarter by $0.02. Our adjustments to GAAP EPS and arriving adjusted EPS are outlined in our press release issued earlier this morning are composed primarily of non-cash revenues that we view as largely unrelated for operating results and are consistent with those presented historically. Turning to our operating results, our $376 million of revenue for the quarter is comprised of 103 million in sales brokerage, up 10% in local currencies with lease brokerage coming in at 113 million, up 11% in local currencies over Q1 of last year. Meanwhile, revenue from Outsourcing and Advisory Services grew $160 million, up 26% in local currencies with strong internal growth in workplace solutions, project management and property management. More of our current revenues generated by our Outsourcing and Advisory Services segment represented 42% of our overall revenues in the quarter, an all-time high share of total revenues and up from 39% in Q1 of 2015. Geographically, 56% of our revenues and 87% of our adjusted EBITDA was generated within the Americas in our first quarter with seasonal factors impacting the distribution and EBITDA. As the year progressed as we expect and the Americas share revenues and adjusted EBITDA to rebalance toward the percentage contributed for the full year of 2015, up about 50% of total revenues and 43% of adjusted EBITDA with the balance split about equally between EMEA and Asia-Pac. In the first quarter, revenues in the Americas totaled 211 million, up 18% in local currencies with 4% internal growth and the balance from acquisitions. Lease brokerage revenues were up 8% of local currency versus last year. Sales brokerage revenue was up 19% versus last year and Outsourcing and Advisory revenue was up 30% in local currency, led by strong growth in project management, property management and consulting an appraisal in both U.S. and Canada. Adjusted EBITDA came in at 21.6 million versus 30.3 million last year and a margin of 10.3% versus 7.3% last year. Turning to EMEA, revenues of 99 million in the quarter increased 26% in local currencies with 19% internal growth and 7% from acquisitions. Lease brokerage revenues were up 9% over the last year, while sales brokerage was up 26% and both service lines led by growth in Germany and Central and Eastern Europe. Meanwhile, revenues from Outsourcing and Advisory Services increased 32% led by strong growth in our workplace solutions, mainly in France and property management in the UK. Adjusted EBITDA was 600,000 compared to breakeven in Q1 of last year. And finally on our Asia-Pacific region, revenues came in at 66 million, up 2% in local currencies, but down 5% in US dollar terms. Strong growth of lease brokerage was offset by a decline in sales brokerage revenues with a lot of decline primarily in Australia, but largely entirely related. Outsourcing and Advisory Services or Outsourcing and Advisory revenues were up 7% in local currencies primarily due to increases in project, property management revenues in Australia and Asia. Adjusted EBITDA was 3.3 million, down from $.9 million last year, primarily an account of revenue mix with margin coming in at 4.9% versus 8.4% last year. Moving on to our capital deployment balance sheet, in our inaugural quarter of 2016, capital expenditures totaled 4.2 million, up from 1.6 million last year first quarter and the level in line with our estimated range of CapEx spend for the year, which we expect to be split between 30 million and 33 million. We invested 36.4 million in acquisition activities during the quarter, up from only 4 million in Q1 of last year. And we improved our seasonally weak first quarter cash usage from continuing operations of 43.1 million, a significant improvement from our cash usage in continuing operations at 94.8 million in Q1 of last year. Our net debt position stood at 241 million at the end of the quarter, compared to 145 million at year end, which is typically a seasonal low point in terms of our debt level. And our leverage ratio expressed as net debt to adjusted EBITDA stood at 1.2 times, well below our expected level of about 1.5 times at the end of our seasonally weakest quarter of the year despite robust activity around acquisitions at the start of 2016. In terms of our financial capacity, cash on hand and committed availability under our revolver, we had over 250 million of liquidity at quarter end at a levels ample to fund the operations and other capital investments including acquisitions needed to execute our growth strategy. Looking across our global operations, our pipelines in most of the markets continue to reflect solid commercial real estate activity comparing favorably below at this time last year. With some continuing work of challenges in parts of Latin America, certain parts of Asia and as previously mentioned some degree of caution in the EMEA primarily the UK, upcoming referendum on UK’s continuance as a member of EU. We continue to believe that low interest rates accessible financing and generally stable supply and demand for commercial real estate and most markets bodes well continued solid activity in sales, leasing and other commercial real estate services for the balance of 2016. That concludes our prepared remarks. And I would now like to ask our operator to open up the call for questions, operator?
Operator: [Operator Instructions] And the first question we have comes from David Gold from Sidoti. Please go ahead.
David Gold: Hi, good morning.
John Friedrichsen: Good morning, David.
David Gold: Terrific showing, just couple of quick with students really specific to Asia-Pacific which is the only spot that was maybe little slower than we have thought, just probably were what - question really is, what you can do other than just waiting at this point for the environment to come back to, are there any other steps that one can take to accelerate? Thanks.
Jay Hennick: Well, first of all it is first quarter and I want to remind everybody that seasonally it is in the low quarter, so I wouldn’t read too much into the results, but for the first quarter I don’t think it’s a big different year. Look activity levels in both Asia and then Australia, New Zealand market conditions are solid and we expect these businesses can preview in line with historically contributed to the entire business, a bit of timing as I mentioned around sale brokerage particularly in Australia, but that would be the only thing that would be noteworthy with respect to the reported results of our expectation for the balance of the year.
David Gold: Perfect.
John Friedrichsen: The only thing I would add to that David, is that over the past 12 months we have made a conservative effort to enhance our management team in Asia beginning with the CEO who is now been in the seat just under a year, but also new leads in places like Hong Kong and Singapore, both long time coming and both exceptional executives, one of which was with us historically and has come back, well, much more experienced in her role in Singapore. So we are quite excited about reshaping the next couple of years in Asia and that’s building on a base that has been pretty good. So it is the first quarter as John said, but there has been a lot of activity in Asia, also some focus on strategic investment there in a couple of different areas. So we need some time to execute on some of these things and put some points on the board so to speak. But Asia is in hand, we are comfortable with what we have there and you will hopefully continue to see some changes in the months and the year to come.
David Gold: Perfect, thanks. And then just one other Jay, to think about the current environment with a little bit of uncertainty given the potential for interest rate increases, no different probably been a year ago, but how we thinking about acquisitions at this point globally?
Jay Hennick: We are little different than most, we look for uncertainty to capitalize and have done that before for many years. So in some respect in a strange way we hope for a little bit more uncertainty because it gives us an opportunity to capitalize on some potential targets that we are already talking to, but may have an expectation or value that is slightly more than we think is prudent to pay or it may be in a region where we need to be at and we need to pull the trigger, but we don’t want to do it in a - acting too quickly as a result. So the market conditions I think are quite stable around the norm, John mentioned a couple of weaker spots, but rates are low, debt capital is available, real estate isn’t growing as such from the standpoint of the institutions and sovereigns who want to own real estate. All of that continues to be the marketplace and although we are finding an abundance of acquisition opportunities, I think we find few more available to complete a few more if there is a little bit less stability in the marketplace. I don’t know if I answered your question, but I tried to give you a sense of how we think of these things.
David Gold: That’s perfect thank you. Thank you both.
Operator: All right, next we have a question from Stephen MacLeod from BMO Capital. Please go ahead.
Stephen MacLeod: Thank you, good morning
Jay Hennick: Good morning, Stephen.
Stephen MacLeod: I just wanted to just circle in on the EMEA and Asia-Pacific markets. You mentioned that you have some revenue mix impacts in the quarter and I’m sure I think you can go under that more detail as to where that came from and whether it’s expected to continue or is it kind of one-time in nature in a relative year over year basis.
Jay Hennick: Revenue mix, I guess the couple of points, obviously in Europe significant increase in our outsourcing and advisory business which tended to accrue a lower margin is because nature of business that goes through business revenue. So that’s something we’ve spoken about previously and to the extent the we - the growth in the business outside is relative either revenue sources that is going to pay, but that we will have an impact on our markets, but notwithstanding that our margins, we are very comfortable with in EMEA and are currently achieving to drive growth there and what we tend to enhance. With respect to the Asia Pacific demand, we talk about little bit about of mix and timing and that really relates primarily to our Australia business where we have got some services we brought for buy around residential development and that business was sort of little bit slower in the first quarter. We could see the impact of that for the balance of the year, but we fully expect that any shortfall there will be offset by an increased activity actually on more traditional commercial brokerage side, so don’t expect here to be anything meaningful there in terms of continuing impact.
Stephen MacLeod: Okay, right and then that rolling down on U.S. or the Americas I guess, you saw a very good growth in outsourcing and advisory business, is that coming from recent acquisition that you’ve done or is that just more selling of - more demand for that service, I was just trying to sort of figure out what the drivers are of that particularly in Americas?
Jay Hennick: Yeah it’s - again it’s a combination that we have got existing business which is principally located in Canada office and Canada which has been very, very strong and just growing internally and then if you recall, we did an acquisition centered in Northeast U.S. and that’s contributed very well and performed better than expectations.
Stephen MacLeod: Oh great and then you also saw, like I was surprised to see that coupled with an increase in margins in the Americas considering the O&A business a little bit lower margin, so are you seeing improvements in the cost base or you’re just leveraging kind of that fixed cost - your fixed cost structure at the moment to get those.
Jay Hennick: Well, more around leveraging the fixed cost structure, obviously a lot of investments come into this North American business, the U.S. in particular and we are getting some benefits from now generating profitability to cover some of those fixed costs.
Stephen MacLeod: Okay that’s great. And then just one final sort of housekeeping question on the corporate cost, so they were down year-over-year, is that what we saw in Q1 kind of a good run rate to expect for the rest of the year, do you expect this rate tick higher as the year progresses.
Jay Hennick: Well, I think corporate cost will increases as we go beyond the first quarter, typically the pattern has been that variable compensation, well, to the extent that we grow our business will result in an increase in cost as we get towards the end of the year and have more visibility around where we expect the year go be, so we want to see an increase of cost in that category. That is the primary driver around the corporate costs.
Stephen MacLeod: Oh, okay, that’s great. Okay, thank you very much.
Jay Hennick: You are welcome.
Operator: All right. Next we have a question from Brandon Dobell from William Blair. Please go ahead.
Brandon Dobell: Thanks, good morning, guys.
Jay Hennick: Good morning.
Brandon Dobell: In the release and you talked a little bit about in your remarks, I think Jay, let’s call it the major markets or larger markets seem stable. So I guess, the presumption would be you’ve got non-major markets sort of providing majority of the growth and it sounds like kind of a cross-sell of service lines. Maybe a little more color there in terms of the handful of large markets, what you are seeing in the service lines versus small markets and if the pipeline looks or feels any different heading in the first quarter and if you split it between large and not large and large I guess?
Jay Hennick: Just to clarify, when I talked about stable markets, I’m thinking about the market itself, real estate transactions taking place in major markets. We saw nice growth in our major markets meaning we believe we are taking share from our competitors in those major markets, but the market itself is pretty stable and then when we look at our pipelines relative to the prior year, we are slightly better pretty much across the board, which is consistent with still growing in major markets. So we’re seeing a lot of that, but we’re also seeing growth in secondary markets principally in the United States, more so I would say looking at John, I think market by market, secondary market by market in the U.S. seem to be doing better than secondary markets in the EMEA and Asia. So although we are experiencing secondary market growth, it seems to be U.S. related right now meaning that there is more capital being invested in real estate in the United States primarily I think in part foreign capital and that’s driving some of the activity in the secondary market. So hopefully that gives you some more color.
Brandon Dobell: Yeah, yeah, that’s helpful. Okay, and you guys, I am sure you’ve got metrics or, I don’t know, targets for how some of the recurring parts of the business are driving transactional revenue or vice versa, let’s call it, cross-sell, up-sell, whatever term you want to use, how do we think about the impact of that this year and how does that effort, those efforts track in relative to your expectations?
Jay Hennick: I’ll try that, John. You may have some insight on that. We have, as you can see from the numbers, spent a lot of time focusing on changing the mix from transactional to non-transactional for some of the reasons that you commented on and several more that we think help our overall platform. Cross-sell in those services, I would say, we’ve really just - we just scratched the surface because some of those more recurring services are newer. For example, the project management businesses that John talked about, workplace solutions and brands, all of which create opportunity, but I would say we really have not capitalized on them in any major way. But one of the things that is part of that segment for us is property management, which has grown beautifully and quietly within that category over the past couple of years. This year, again, we are seeing great growth, enhanced profitability, and increased share and that is an area where we have capitalized on from the standpoint of cross-selling, because it’s a more mature category for us and something that our offices are consistently looking for in terms of encouraging clients to take a look at existing real estate that they might have. It might mean that there might be an opportunity to refinance that real estate, there might be an opportunity to enhance the value of it in some way and there may be an opportunity to sell it because the market is right for a sale on that particular asset. So those three areas are areas that we are focusing on. It is translating into increased investment sales. As you can see, that number is up nicely this year for us. It’s impacting leasing, but it’s also impacting some of the other things I just talked about. John did you - do you want to add something.
John Friedrichsen: The only other thing I would say is, look, the whole cross-selling whether it’s service line or by region, is a key focus of the company. It is one of our, sort of top five metrics that gets looked at on a monthly basis and sort of revisited quarterly from dashboards that we use to operate the business, so it’s well-communicated within the organization. We do have our objectives to drive that growth because we expand our platform, obviously the opportunity is significant. I still think that it’s already begun.
Brandon Dobell: Okay and then maybe John I’ll stick with you for a second, given how margins have progressed so far this year and the corporate expenses out of it for a second, but this regional margins, how do we think about the back half of the year progressing? Is there anything that is going to, I guess, change the trend dramatically or is there a step-up or step-down in spending back half of the year that we need to think about relative to last year’s second half margins?
John Friedrichsen: I mean we have a strong finish last year margin basis and I won’t get into any specific - we are not obviously providing guidance here, but we did finish the year strong last year in terms of margin impact. We feel very good about the business and where we are heading this year. I think we set our expectations as part of our Q4 call of 2016, which would see margins in line with where our margins were last year. We still largely believe that to be the case. And what we have seen since then is somewhat of a moderation around FX and given the significant amount of revenue and ultimately EBITDA that we generated outside of U.S., a continuing weakening of the U.S. dollar, which we’ve seen so far this year would positively impact the margins.
Brandon Dobell: Okay. Got it. Thanks, guys.
John Friedrichsen: You’re welcome.
Operator: All right. Next we have a question from Frederic Bastien from Raymond James. Please go ahead.
Frederic Bastien: Thank you. Hey guys, based on your last response, do you feel better about 2016 than you did two months ago?
Jay Hennick: I would say we are better about it. Yes, but I think it’s going to be probably in the as good kind of range as last year and for us it’s gaining share, enhancing the acquisition activity as we got planned is perhaps getting the benefit of currency changes. Last year we were significantly impacted on the downside from currency changes, so this could be the year where we’re not as impacted. So I would say same feel as last year now. That’s what our prediction would be on base business, sort of high single digits internal growth would be great, acquisitions approaching 10%, plus the other things I talked about, so generally a good growth year for the company.
Frederic Bastien: Okay, perfect. Can we get a bit more color on this WPM Group acquisition that you completed in February? How much revenue and margins should we expect from it?
Jay Hennick: It’s - revenue, Euro about 10 million, 12 million of revenue margins in the 10-ish range. We believe that we are integrating that with our existing management platform in the Netherlands together with our existing management and the rest of our business in the Netherlands were now number two or three in the country. And we believe that there is lots of opportunity to leverage the managed portfolio into an asset late potential business line for us as well as obviously incremental revenue streams from leasing and other things that we might project management that we might do for those properties.
Frederic Bastien: Okay thanks, my last question, I guess you mentioned with respect to M&A, the uncertainty in the market is actually an environment it’s actually like in terms of your approach to M&A, has your pipeline changed materially as well if you compared from where it was maybe at the beginning of the year?
Jay Hennick: That’s a good question. I would say yes for it, I mean we have got a very robust pipeline. I would say that it is a business as usual kind of pipeline for us, but there is a lot of activity and it’s well-balanced on a global basis which makes it better for us because the integration aspect can be better managed than focusing entirely on one area or another. And I’m very proud of the evolution of our management teams in each of our regions because they’ve done acquisitions now for a number of years and they’ve done around the world. So the process of finding negotiating, diligence and then executing on the integration of acquisitions is something that I think is one of the parts of our secret sauce here at Colliers and will continue to pay huge dividend in the years to come.
Frederic Bastien: Great thank you.
Operator: All right, next we have a question from Stephanie Price from CIBC. Please go ahead.
Stephanie Price: Good morning
Jay Hennick: Good morning Stephanie.
Stephanie Price: Just sticking with the acquisition pipeline can you talk a bit about how you’re filtering that pipeline and what regions and business lines are almost attractive here right now.
Jay Hennick: I won’t really talk about regions.
Stephanie Price: Fair enough.
Jay Hennick: I won’t really talk about regions, but we - unlike some of our peers we have - we now feel that we have a well-balanced global platform that is now completed whereas in past years it was much of a built story for us. But although we have sort of boots on the ground and virtually every market we like to be in with one or two exceptions, we do have service line gaps. And it’s a constant, let’s call it challenge/opportunity for us to find opportunities, targets that are there and help us strengthen our business in different geographic regions. So the example of property management in the Netherland, our platform was 30% of the target platform, now we have a very, very big platform. Same opportunities in Australia, I would say in Asia are two or three or four of our property management platforms are well smaller than they should be and speaking about opportunities to grow those again are additional opportunity for us. And has John talked about project management in North America and we do a great job in - sorry, in the U.S., we do a great job in Canada. We do a great job in Western Europe primarily because of the acquisition we did in France a year and half ago, but those are all good opportunities for us to expand our business, diversify our revenue streams, create more recurring and long terms revenue streams around three suite [ph] real estate services and if we are in front of our clients providing exceptional advise at times when they are spending significant capital, it puts us in the comfort seat to help them with other types of transactions. So there is just a lot going on in a lot of different places and that’s one of the great benefits that I try and articulate when I talk about Colliers and the opportunities in the years to come. The consolidation opportunities in this industry are just vast.
Stephanie Price: And when you think about the invention property management, the revenue coming from the outsourcing and advisory services, is there a target that you are working towards is that part of recurring revenue as a portion of your total revenue?
Jay Hennick: Well, recurring revenue in this business is interesting because 43% of our revenue coming from outsourcing and advisory is a good number. Some of our peers will include things like leasing which is in many ways recurring item and it recurs every five years or 10 years depending upon how often you renew the lease. If you add leasing to our outsourcing and advisory, we have 75%, 80% of our businesses quote recurring or repeat. And there’s a lot of justification for that because in order to continue to serve clients you must maintain a relationship, when you’re doing leasing work for a client they’re always taking a lot of additional space, getting rid of some space and so there is no targets per say in mind it’s as much as we can get. But we are feeling today that we are well-balanced in outsourcing and advisory and leasing has become an increasingly more important part of our business for obvious reasons.
Stephanie Price: Great, thank you very much.
Operator: Right and the last question we currently have in the queue, comes from Anthony Zicha from Scotiabank, Montreal. Go ahead.
John Friedrichsen: Anthony, oh my god.
Anthony Zicha: Good morning. Well we are in the Zs [ph] right so last one on the call. Yeah, so pretty much all the questions have been asked, but just I’d like to know Jay, if you could give us some color on the competitive landscape in North America and EMEA? You’re doing a great job in winning market share, but what are the competitors doing.
Jay Hennick: That’s very competitive in North America probably more so in North America than anywhere else. We have two exceptional years in CB and Jones Lang, they do a great job, they work hard, they’re doing the right things, we try to follow them and in terms of ideas and learn where we can and then there is two or three others that are in the game obviously Cushman & Wakefield is in the process of doing your very large three-way merger, which I think it is going to take some time for it to work its way through and then there is two or three other smaller players that don’t really have a global platform or more North American focus and will pretty much stay in North America be very, very difficult for them to go anywhere else. So it’s really only four names that matter on a global basis and Colliers being one of them and it is very competitive and it is competitive market to market and everybody is looking to fill gaps and everybody is looking to recruit key professionals that help take their business to the next level. So it is a very dynamic industry right now.
Anthony Zicha: Okay and just a bit of color on the UK to give us better understanding with the bit exit or potential exit. If it is successful, so it goes through, how would it impact your business like what would happen to marketplace?
Jay Hennick: Well, I think Anthony nobody has an answer to that question and I’m not going to offer one up. All I would say is that if the unexpected I think at this point was to happen and the UK decided to go on its own. Make no mistake about it, there would be a day after everybody would wake up and then figure out what to do. Clearly there would be a lot of work required to ensure that the appropriate trade pacts are put in place which would be of coarse beneficial to everybody else in Europe as well as UK, so that will be process to work through overtime. At the end of the day UK is still looked at as a very significant and robust economy in of itself a key part of Europe and whether or not there’s a formal arrangement or not, who know. I think at this point the polls would suggest that it’s probably unlikely though still a possibility. Our business is focused completely on opportunities that we see in this market place. Our UK business is well substantially, that story has been well told since 2012 when we acquired that operation. We’ve done I think a tremendous job turning it around, our team has done remarkable job in really reestablishing Colliers International as a major player in London and the rest of UK. We have high notes for growing both the London business and outside of London, in the rest of the UK, where a significant spend in infrastructure and work being taking place currently in the UK and our investments in whether it’s Birmingham or Manchester, Leeds and Northern [ph] those markets present tremendous opportunity for us as well down the road. So whatever happens in the UK, I’m sure it will be very short lift and long term an exceptional place for us to have a business and to continue growing.
Anthony Zicha: Well, thanks John - thanks Jay.
Jay Hennick: You’re welcome.
Operator: Right and we don’t have any further questions in the queue at this time.
Jay Hennick: Okay, thank you ladies and gentlemen for joining us on our today’s call and we look forward to our next call after the June quarter. Thanks again and have a good day.
Operator: Ladies and gentlemen, this concludes the first quarter investor’s conference call. Thank you for your participation and have a nice day.